Operator: Good afternoon, everyone, and thank you for participating in today's Conference Call to discuss NV5's Financial Results for the Third Quarter 2024 ended in July 29, 2024. Joining us today are Dickerson Wright, Executive Chairman of NV5, Edward Codispoti, CFO of NV5, Alex Hockman, CEO of NV5 Infrastructure, Ben Heraud, CEO of NV5 Buildings and Technology, Kurt Allen, Senior Vice President, Geospatial at NV5; and Richard Tong, Executive Vice President and General Counsel at NV5. I would now like to turn the call over to Richard Tong.
Richard Tong : Thank you, operator. Welcome everyone to NV5's third quarter 2024 earnings call. Before we proceed, I would like to notify all participants that today's presentation can be found on ir.nv5.com and remind everyone that today's discussion contains forward-looking statements about the company's future business and financial performance. These are based on management's current expectations and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from these statements are included in today's presentation slides and in our reports on file with the SEC. During this call, GAAP and non-GAAP financial measures will be discussed. A reconciliation between the two is available in today's earnings release and on the company's website at www.nv5.com. Please note that unless otherwise stated, all references to third quarter 2024 comparisons are being made against the third quarter of 2023. In this presentation, NV5 has included certain non-GAAP financial measures as defined in Regulation G promulgated under the Securities and Exchange Act of 1934 as amended. The non-GAAP financial measures included in this presentation are adjusted earnings per share and adjusted EBITDA. NV5 provides non-GAAP financial measures to supplement GAAP measures as they provide additional insight into NV5's financial results. However, non-GAAP measures have limitations as analytical tools and should not be considered in isolation and are not in accordance or a substitute for GAAP. In addition, other companies may define non-GAAP measures differently, which limits the ability of investors to compare non-GAAP measures of NV5 to those used by peer companies. A webcast replay of this call and its accompanying presentation are also available via the link provided in today's news release on the Investors section of the company's website. We will begin the call with comments from Dickerson Wright, Executive Chairman of NV5 before turning the call over to Edward Codispoti, Chief Financial Officer for a review of the third quarter 2024 results. Dickerson Wright will then provide closing comments before we open the call for your questions. Dickerson, please go ahead.
Dickerson Wright : Thank you, Richard, and we wish to thank everyone joining us for this call. Let's turn to Page 4 of the presentation where we provide our record performance for our quarter three of this year. We will use as a comparison the same period of quarter three in 2023. You will see we had organic growth that increased by 6%. Our gross profit increased 13% and net income showed an increase of 31%. We also had an increase of 21% in adjusted EBITDA and delivered increased profitability with an 18% adjusted EBITDA margin in the quarter. Our backlog of $914 million gives us confidence that we will achieve our goal of $1 billion of revenue run rate by the end of this year. We will be providing a new target in 2025 that will create even more growth and opportunities. How did we achieve these record results and what does the future hold for us? As you know, our business consists of three segments supported by our six service verticals. Those three segments are Infrastructure, Geospatial and Buildings and Technology. Let's look into the progress and growth of these segments. Let's begin with Alex Hockman, who leads our Infrastructure vertical. Alex?
Alex Hockman : Thank you, Dickerson. Please turn to Slide 5 of the presentation. Infrastructure as a reporting segment generated $101 million in Q3, representing strong organic growth. The three verticals that comprise this segment include our business units that provide engineering design and survey, which accounted for 52% of Q3 revenues, utility services, which were 28% and construction quality assurance services, which were 20% of Q3 revenue. Some highlights from each of the segments include North Carolina Department Transportation wins of added $10 million in backlog. Population growth or aging infrastructure compounded by public insistence and sustainable infrastructure initiatives are increasing demand for our engineering, project management and surveying services. Also, our niche specialties such as our multimodal transportation design group are winning projects directly with the Department of Transportation and are also sought out by other design firms due to our reputation and expertise. In our utility vertical, our segment that specializes in the strategic undergrounding of electrical lines ensuring a more resilient electrical grid won a record $33 million in project awards in Q3. During last quarter's call, I mentioned how our geospatial services are providing cross selling opportunities with our transportation services. The same is true for our utility services that utilizes the data captured from fixed and rotary winged aircraft in addition to unmanned aircraft systems. The expertise of the group has resulted in increased demand allowing us to have a dedicated UAS team to support our utility services. These contracts also include cross to our engineering, environmental and construction quality assurance operations. Also our substation team is continuing to see increased demand for its services from data centers. We are pursuing opportunities nationally and abroad to support our clients' effort for this critical infrastructure. These projects are all examples of how our cross selling and integrated service offerings give NV5 a competitive advantage and allow us to manage our processes with-in house expertise. Our construction quality assurance vertical, which operates in a mandated service line, has had strong organic growth in 2024. One of our labs that maintains a nuclear quality assurance certification, NQA1 was awarded a $5.4 million contract of which $2.2 million has already been funded for projects to be completed over the next two years. Our CQA operations have success contracting with end users in addition to enhancing our services through infrastructure and utility contracts. NV5's multidisciplinary and integrated service offerings for all market segments position our team for continued growth. Dickerson?
Dickerson Wright : Thank you, Alex. Next, we will hear from Kurt Allen who will report on the Geospatial segment of our business. Kurt, please go ahead.
Kurt Allen : Thanks Dickerson. Please turn to Slide 6 of the presentation. Most of what we do in our Geospatial business fits into four major areas. They are infrastructure, water, natural resources and national defense. As you can see from the revenue chart on Slide 6, Geospatial recognized $84 million worth of revenue in the third quarter with 58% of this revenue coming from the federal government, 28% coming from utilities and the remaining 14% coming from state and local government. Revenue in each of these client categories in general focuses on the four major areas I just mentioned, being infrastructure, water, natural resources and national defense. Having capabilities in all four of these areas at scale is unique in the geospatial market. It provides NV5 with a competitive advantage and allows us to remain sticky with our clients. In addition, we are more often seeing our building technologies and infrastructure reporting groups bring us new work and vice-versa. And the geospatial expertise and capabilities are a differentiator for our building technologies and infrastructures group. We continue to see demand in our transportation and utilities programs, mostly focused on asset management initiatives, including asset mapping and analytics, like vegetation encroachment and geospatially based asset management system implementations. We have experienced a nice rebound in our hydro spatial market from the end of last year and the beginning of this year to where we are now. Hydro spatial exceeded our bookings budget for the year, providing a nice backlog for Q4 and well into 2025. This is a result of a change in both market strategies and organizational changes. We have expanded our geographic aperture for opportunities and included the supporting commercial programs such as sub-four cable crossing mapping. We have also transitioned our vessel management into the same operational model we use for aircraft logistics. As a result of this, our vessel utilization has gone up. Additionally, our unique forestry and water resources data collection, processing and analytics capabilities continue to stimulate our natural resources related work, primarily in the Western United States and Alaska. We have had some nice wins this past quarter to help build our pipeline for the rest of the year and into 2025. The $290 million multiaward Luno A contract award from the National Geospatial Intelligence Agency is a recognition of our ability to gather data and provide useful and insightful analytics at scale and at speed. We were aware that the National Geospatial Intelligence Agency was going to transition to better leverage private sector, deep learning capabilities. So we have made the software investments over the past year to position ourselves for this work, which is paying off. We also were successfully awarded over $26 million in awards directly related to asset management in support of the U.S. power grid reliability. In addition, the natural resources sector of the federal government over $15 million of landscape scale data acquisition and analytics were awarded and are underway. Our geospatial vision for 2025 and beyond includes building around our growing position in our traditional markets and leveraging our expanding technologic prowess to grow our position and influence these markets through thought leadership. We see the asset lifecycle management trends across transportation, water and power delivery, and the defense markets as an area of growth. We are expanding our geospatial presence of our hydro spatial assets, which are already bearing fruit. Finally, we expect to see significant opportunities as a result of the severe damage caused by the large hurricanes the Southeast has experienced this season. If the political commitments made at both the federal and state level become reality, we expect supplemental funding bills to have geospatial requirements that will be placed on our existing contract in part to support damage assessment and assist in mitigation efforts across large areas. Back to you, Dickerson.
Dickerson Wright : Thank you, Kurt. Our third segment is our Building and Technology Service Group. Ben Heraud will provide an update of our latest activity in this segment. Go ahead, Ben.
Ben Heraud : Thank you, Dickerson. Would you please turn to Slide 7 of the presentation? In the past quarters, we have spoken a lot about our data center services and we continue to be very pleased with our growth in this space. Our strategy to grow this business domestically by leveraging our strong international relationships with hyperscalers is paying off. We were recently awarded a commissioning project in the U.S. With one of the biggest global hyperscalers and are confident that this will expand to other projects. We also announced two key acquisitions in this space and while they were small, they were very strategic. They bring new hyperscale data center clients and subject matter expertise which will support the organic growth of our teams as we scale up to deliver on our pipeline of projects. We continue to be leaders in the space in the Asia-Pacific region and our strong organic growth here is anticipated to continue. Our Technology and Acoustics Group had a record quarter in terms of organic growth, revenue and EBITDA. We continue to be the leader in the higher end space for the service line and are actively growing in other sectors including healthcare, aviation and hospitality. We are very excited about the development of our building digitization business both in terms of its growth and also how it's driving business and efficiencies for other groups within NV5 along with recurring revenue. In Q3, we were awarded several large projects with a lot of potential for additional services including a contract to scan 1100 retail stores that has the potential to expand to 10,000 locations nationwide. This project has an aggressive timeline and we're leveraging the expertise of our program management team to support its delivery. Looking ahead, we expect to double the revenue of this group in 2025. Our international group continues its impressive organic growth trajectory and while data centers do play a large part in this, it's not the only driver for our growth here. Our strategy for growth is on several fronts, increase our market share in existing locations, expand geographically into high growth regions and make strategic acquisitions where they support the strategy. A great example is the recent acquisition of ASG in Dubai, which provides structural engineering services. They're now actively bringing this expertise to all our clients across all regions to further drive growth. Our Dubai operations continue to see a strong pipeline of mega projects in the region where we are a significant player. It's also worth noting some areas of the businesses that have had seen some headwinds this year. Interest rates have impacted the number of larger CapEx projects moving ahead in some sectors and this has affected parts of our MEP business. As with any challenge, we need to adapt to the market and have been deploying our resource into areas where we are seeing the growth including work we are doing in the data centers, pharmaceuticals and clean energy and decarbonization space. For example, our energy efficiency team was recently awarded a project with a chip manufacturer to develop a decarbonization roadmap including assessing the return on investment for CapEx projects that will reduce operating costs and carbon emissions. NV5 will design, commission and oversee the implementation of these projects, providing a turnkey solution for this client. It's worth noting that we do see strong proposal activity for larger CapEx projects and we expect many projects that have been on hold will go ahead early in the New Year. Back to you Dickerson.
Dickerson Wright : Thanks, Ben. Let's now listen to Edward Codispoti third quarter financial results.
Edward Codispoti : Before I begin my review of the numbers, I will note that these results should be considered preliminary until we file our Form 10-Q. Additionally, I will note that these amounts also include adjustments to prior periods for out of period misstatements that affected previous periods as discussed in our press release. Our gross revenues in the quarter grew 6% to a record $250.9 million compared to $237.5 million in the third quarter of the prior year. Our gross profit was $129.5 million compared to $114.3 million in the prior year, an increase of 13%. Therefore, our gross margins expanded 350 basis points from 48.1% in the third quarter of last year to 51.6% in the third quarter of this year. Our net income was $17.1 million in the third quarter of 2024, compared to $13.1 million in the third quarter of last year, a 31% increase. And our GAAP diluted earnings per share was $0.27 versus $0.21 in the prior year period, a 29% increase. Our adjusted EBITDA was a record $44.5 million versus $36.7 million in the prior year. This represented a margin expansion of 230 basis points as our margin increased to 17.7%. Our adjusted EPS was $0.44 compared to $0.36 in the prior year, a 22% increase. If you would now turn to Slide 10, you will see we have cash flows from operations of $48.9 million in the third quarter. This was a record for the company and a 145% increase over the same period last year. Our net leverage remains low at 1.3 times. I'll now turn it back over to Dickerson for some closing comments.
Dickerson Wright : Thank you, Ed. Please turn to Slide 12 where we will report on acquisition activities for the quarter. As our service platform continues to solidify, we're able to look for acquisitions that will strengthen our offering and hopefully will create a higher barrier of entree. In the quarter, we acquired the California Water Resources Group from Western Solutions. This acquisition allows us to expand our water resources services, while providing greater synergies with our existing services. We know of the water resources group having worked closely with them in the past. We also acquired myBIMteam, which is a subscription based building digitization service provider that will also strengthen and expand our current service offering. I would also like to speak of our vision for NV5 on Slide 13. We will be focused on continuing profit improvement, which will accelerate the growth of our existing platform. We will continue to expand our service offerings and stay nimble and opportunistic to support future growth. You will notice on the right side of the page, we are budgeting for gross revenue approaching our goal of $1 billion while continuing earnings per share on a GAAP and adjusted basis.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from the line of Chris Moore with CJS Securities.
Chris Moore : Yes, I was hoping maybe Ed you might be able to go into a little bit more detail on the kind of revised financials and give us a sense as to when the 10-Q will actually be filed?
Edward Codispoti : Sure, Chris. Yes, it had to do with just a single customer at Axim, which if you recall, we acquired in February of last year. And that we've outlined in the press release what the impact was, which we don't believe is material. And the 10 Q should be filed by Tuesday of next week, if not sooner.
Chris Moore : I'm just trying to understand the maybe a little more on mechanics of how this came up here versus say the K from ‘23?
Edward Codispoti : Right. We'll provide more information in the queue, but basically it's just a timing thing. So the revenue, it will be recognized as a churn going forward, right? So it's just a matter of where the revenue was reported within prior periods. And as I said in the press release, you could see the breakdown of the impact on gross revenues and earnings, which was not material.
Chris Moore : All right. I will leave that one there. I am not sure did I miss the backlog number for Q3, Dickerson? I'm not sure.
Dickerson Wright : I didn't say it. I'm sorry, Chris, I don't think I said it but it's in the deck and it's backlog. If you look on Slide 4 on the top right hand corner. I didn't point it out. I apologize.
Chris Moore : No. All good. I just missed it. Too many things going on. Has the mix changed much in terms of from the three segments?
Dickerson Wright : Well, all of fortunately, I say this, all of the segments are growing organically. We are seeing a higher growth in our international business and in our geospatial business. And those tend to be more stable or more subscription based revenue. So we're pleased with the growth in that area. And as our platform solidifies in these two segments, we are able to be much more competitive than many different geographies.
Operator: The next question comes from the line of Rob Brown with Lake Street.
Rob Brown: You talked about a little bit of or a couple data center commissioning projects that you're working on and I guess some opportunities for more. Could you give us some sense of what the opportunities are out there, maybe number of centers or maybe that kind of as a revenue opportunity?
Dickerson Wright : I think I'll let Ben address that because he's his group, the Building Technology Services Group has probably had although all segments are involved with of the comp, NV5 are involved with data centers, much of his work internationally and domestically involves data centers. So maybe Ben can answer this.
Ben Heraud: Yes, I can weigh in. We can't talk about the actual clients themselves. There's obviously a high degree of confidentiality. But in the U.S, we've expanded to four major players that we're now working with. So we're quite pleased with that. And with the international side of things, we're a lot more established and do a lot more volume but we're seeing the ramp up on the domestic side, leveraging those relationships internationally. You would have seen a recent press release where we talked about surpassing a gigawatt of data center load assist this year. And so, we're really pleased with the volume that we're doing and the growth that we're seeing there.
Dickerson Wright : And just to add Rob, the client base is all of the Western Company hyperscalers. We specifically can't mention them by name, but they are household names and we are very confident in the client base because they are with these well-established hyperscaler clients.
Rob Brown: And then, I think you talked a little bit about some headwinds in the MEP side. Could you elaborate on that where you're seeing that, maybe geographies or verticals?
Ben Heraud: Yes, I can talk to that. I mean the commercial space obviously has been impacted for a while now. But we have seen over the last year, so our life sciences clients in the Northeast just slowing down on some of the major projects. The good news is in a lot of cases we're putting these proposals out and we're not being told no. And I think a good sign is and we can see it in the slide deck there was we were just recently awarded a ground up casino here in the States, which is one of the largest ones we've had since we did the Fontainebleau project. So I think in a lot of cases projects have been on hold and we do expect them to move ahead here early in the New Year. But that's been some of the areas that we've seen impacted.
Operator: The next question comes from the line of Luke McFadden with William Blair.
LukeMcFadden: This is Luke McFadden on for Tim Mulrooney. I guess maybe to start here, with the Trump election win, I was wondering if any of your businesses did particularly well under his first term and which of your business lines you'd expect to continue to perform well, and thrive in this environment. And then just maybe on the flip side, if there are any that might be impacted by change in priorities from a Trump administration?
Dickerson Wright : Well, that's a very good question, Luke, and I wish I could answer that with specificity. But the macro picture is we're it's a tale of two cities. We do a tremendous amount of work if there if the regulations in the east and some of the permitting at the east, that allows us to begin projects. But we also have an awful lot of business due to higher regulation and higher requirements of government agencies. But how the overall effect will be, I wish I could do what the market did yesterday and just and jump on that change. But really, we try to have capitalized on both sides of that regulatory and non-regulatory environment. But maybe the best answer for you is we let each of the segment heads speak of how they feel about the political situation will change. And so, Alex, how do you feel about how the infrastructure will be affected by that?
Alex Hockman: I think there's still such a demand for the infrastructure improvements that we will still see the tailwinds that we've been experiencing. To the extent that interest rates come down, we'll see a rebound in our real estate transaction work as well as other works that rely on development, including environmental CQA as well as I don't see any change in our utility market that's still going to increase.
Dickerson Wright : And what you've heard me say and what in previous earnings calls is that the for infrastructure, the permitting process took so long that it was difficult to start many projects that could be awarded. But now we're hoping with the change of administration and maybe the permitting process will speed up. Maybe, Kurt from the geospatial side, how do you see that? How do you see the change?
Kurt Allen: Yes. I think we kind of view geospatial and the work that we do for the federal government in particular is bipartisan. And so both sides of the aisle typically support this work. And with our legacy companies during the first Trump administration, we saw a continuation of that through the Biden administration as well. So really, I don't see a change.
Dickerson Wright : And what we have said on previous recordings, Luke, is that on the geospatial side, at worst some of those projects are moved to the right, but the projects always continue and that is and -- that's what we've experienced. And so now maybe, who did I. Ben, maybe you can comment on how you see any politics changing the building technology group?
Ben Heraud: Yes, I think our clients and talking to our clients, they were just looking for certainty one way or another. And I think a lot of projects have been on hold until this decision was made either way. So, I think sort of just adding on to what I said about the interest rates, a lot of the proposal activity that we've had out there we haven't been told no. And I do expect that we'll start to be told yes in some cases and we'll actually see some of that work that's been on hold move ahead. So yes, that's my view on it.
Dickerson Wright : So that's the best that we can comment, Luke, concerning that concerning the political environment.
LukeMcFadden: That's great. And I really appreciate the color from everyone. And then maybe just quickly, maybe another one here, just related to data centers for perhaps Ben or anyone else. You talked about the need clients have for energy efficiency, power delivery, MEP design and commissioning. As you grow this business towards that $400 million mark, just curious if there's any particular area within those categories or maybe perhaps one that I didn't mention where you particularly like to be focused? Just any color there would be great.
Ben Heraud: Yes. I mean all services you mentioned are full steam ahead. I think the one of note where we'll see a lot more growth ahead, we actually just had an internal call Alex and I and a few others today is the power delivery side. Obviously getting power to these sites is a huge issue and also opportunity for us on the engineering side. So our MEP Group and commissioning will be working very closely with our power delivery team where we have a very strong technical expertise and our clients are sort of screaming out for their help. So all services that's something that we don't have so much on the international side that power delivery. So, we'll be looking to bring that to our clients out there also. So, yes, I think that our services are in very high demand in that space right now.
Alex Hockman: That's certainly music my ears, Ben, because we'd love to see the cross selling between the segments and offices and various offices that we have. And that is what we feel is really an advantage to having such a broad base of operations.
Dickerson Wright : Yes, quite unique and our clients really enjoy that being able to be turnkey.
Operator: The next question comes from the line of Jeff Martin with Roth Capital Partners.
Jeff Martin: Ed, could you comment on the revision to guidance that wasn't really discussed in the prepared remarks?
Edward Codispoti : Sure. I mean, really, as you know, we had -- as you can tell from our numbers, we had a very strong third quarter. As a matter of fact, we had a number of records. We had a record revenue, record gross profit, record adjusted EBITDA, record adjusted EPS and cash flow. So very, very strong quarter, but in an abundance of caution, we just want to make sure that we're conservative heading into the end of the year. And so we revised to accommodate for that but really see a lot of tailwinds for the business and opportunities going forward.
Jeff Martin: Okay. And then just kind of -- go ahead.
Dickerson Wright : I just want to say, unfortunately, we don't have the luxury of being in Newport Beach. So the third quarter, we have weather delays and we have some winter things that we have to face. So we wanted to be a little bit conservative on the projection or the guidance.
Jeff Martin: You're welcome to move the business to move our base out there as you can run it geographically. I think it's worth pointing out that in your revision, this is one Axim client, $0.06 of your revised guidance accounts for the change. So roughly half the change, right? So I think that's what you're pointing out.
Dickerson Wright : That that's correct, Jeff.
Jeff Martin: And then will you provide quarter by quarter restatement? I guess that might come in the 10-Q. And is there any concern this this may, appear in in other clients of that place as well down the road?
Dickerson Wright : No. We don't have that concern. We've looked at it thoroughly and, yes, the Q will have the detail on a quarter by quarter basis.
Jeff Martin: And then just jumping back to some of the organic growth expectations you outlined in your July Investor Day presentation, which was very good by the way. Just curious if you still feel that those are good targets going forward and if anything has shifted, maybe point out which segments you see any change relative to the discussions we had a couple of months back.
Dickerson Wright : And as you know, the Investor Day is aspirational and it's goal oriented and it's to promote that enthusiasm of our group. And so sometimes there's a disparity between that and what we're saying on these earning calls. So, we are confident in the organic growth that is projected through these earnings calls and we really want to keep our people fired up to exceed those goals.
Jeff Martin: And then in geospatial, are you seeing the normal flow of contracts and contract renewals? I don't really think there's anything going on in the government budget landscape or political landscape that would other than maybe delay decision making on some of the commercial side?
Dickerson Wright : That sounds like a good question for Kurt.
Kurt Allen: Yes. I think right now we're in kind of the quiet period of our year with our federal clients. They just finished their fiscal year and we are on a continuing resolution that we are -- I'd say we're fairly confident that they will be done in the land duct period, but we certainly can't guarantee it. But the one area that I think I'm very confident about is we do have a strong backlog, whereas I think there was some commentary a year ago that we probably were not as strong in the backlog going into 2025 as we are right now. So I think we're pretty bullish.
Operator: The next question comes from the line of Michael Feniger with Bank of America.
Nandita Nayar: This is Nandita Nayar on for Mike. So I guess, just given that we're now officially in like a rate easing cycle, could you provide an update on real estate transactions, any green shoots you're seeing there?
Dickerson Wright : Alex will be best to answer that question, but I want to make sure I understand it. Did you ask since the interest rates, we just heard from the Federal Reserve today about lowering the interest rates again? Was that your question? Do we think we're seeing some increased activity because of that? Was that the question?
Nandita Nayar: Yes. Any green shoots you guys are seeing there in real estate transactions given the easing of rates?
Alex Hockman: So with the easing of rates, we absolutely anticipate that we'll continue to see growth in our real estate transaction business. It's very dependent on two things, right? One is when loans are going to balloon. The other is the actual transaction that takes place and that business absolutely increases as we have rates decrease.
Dickerson Wright : Yes. And anecdotally, we've seen some very strong results-- operating results from both of our real estate transactional groups, both the Global Realty and Bock & Clark. I don't watch it or report directly to me, but I can really see there quite an improvement on both of those. So we are very encouraged with the direction that the real estate market is going.
Operator: The next question comes from the line of Andy Wittmann with Baird. Please go ahead.
Andy Wittmann: I guess just a couple of clarifications more than anything here. I just -- does the restatement for the first half of the year, the $0.06 for the first half of the year, does it change the way you forecasted the second half of the year? In other words, was there an impact for this in terms of the way you would have thought about the rest of the year? Is that a factor in the second half guidance?
Edward Codispoti : We factored it into the full year guidance because at the end of the day that's we're going to we anticipated landing on that full year guidance. So we've factored that $0.06 in that revised guidance.
Andy Wittmann: Yes. I guess that I understand, but did it change like your old guidance to the new guidance, is some of the change due to the fact that there's a change in the accounting, where you would have addressed the accounting in the second half or is the is there -- is that not a consideration?
Edward Codispoti : Well, it takes into account the adjustments in the first half. But when you think about Q4, we still anticipate a strong Q4. As I said earlier, we're just trying to be cautious in how we forecast that quarter.
Andy Wittmann: Okay. And then I guess, I think I understand this, but I'm just going to ask kind of the organic revenue question a little bit different way. Can you tell us what the gross revenue was from acquisitions that that were closed in the last 12 months in the quarter?
Edward Codispoti : Sure. Give me one second, Andy. And this is the disclosure, Andy that you're familiar with, right, in our filing. So for the when you think about what we've acquired so far in 2024 in the three months, those contributed $11.3 million and in the nine months they contributed $22.2 million.
Andy Wittmann: And then I'm just curious just in the guidance again here, is there any contribution from acquisitions that have not been publicly announced or would you call it everything that's been announced is reflected in the fourth quarter?
Edward Codispoti : Everything that's been announced is reflected in that guidance.
Andy Wittmann: I think those are all the clarifications that I had. Thank you for your help.
Edward Codispoti : Thank you.
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Wright for closing remarks.
Dickerson Wright : Thank you, operator. As you can see, we had a very strong quarter and this leads to even more encouragement for our last quarter of the year. We are a conservative company. We like to do what we say. And therefore, if you'll see a bit of conservatism, it's because we absolutely want to under promise and over deliver. In the fourth quarter of 2024, we anticipate strong contributions from all reporting segments. And we can see that the backlog, if you can see the backlog has increased and this is always a good sign for how we see things going forward. Let's talk a little bit about the type of revenue. Now we're really dependent and we're starting to see the subscription based revenue, the continuous revenue as our software group continues to contribute. We're looking for SaaS based revenue and we're starting to receive that. So we're very encouraged for what we see as we conclude 2024. Right now, I just wanted to share that we are receiving the budgets from our all of our reporting segments for 2025. And right now, we are very encouraged from what we're seeing from those budgets. The budgets come ground up and by detail and buy things that really do a lot of research and providing those. So we are very encouraged for how we're going to finish the year and we're even more encouraged on how the growth that we anticipate in 2025. I think I'd like to mention one other thing that is not so much be looking in the next few months, be looking for the new guidance. As you know, we always tell everyone what we project in revenue as we go forward. We did it in $260 million at $300 million. We did it in 2020 at $600 million. We did it now in the end of ‘24 at $1 billion which we think we're right on that entering into ‘25. And so there'll be a new guidance that we're going to do for the following year. So look forward for that. And really, it's an indicator for us that it's a robust growing company that we are very appreciative of everybody that contributes to it. We have a very flat organization and all of us want to work very hard so that we can deliver what we promised to our investors. So I want to thank everyone for the time you gave us today, and we look forward to speaking to you again in the as we conclude the fourth quarter. So thank you, everyone.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.